Operator: Greetings, and welcome to Interparfums Inc.'s 2025 Third Quarter Conference Call and Webcast. [Operator Instructions] As a reminder, this conference call is being recorded. At this time, I'd like to turn the call over to Karin Daly, Vice President at The Equity Group and Interparfums' Investor Relations representative. Thank you. You may begin.
Karin Daly: Thank you, operator. Joining us on the call today will be Chairman and Chief Executive Officer, Jean Madar; and Chief Financial Officer, Michel Atwood. As a reminder, this conference call may contain forward-looking statements which involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from projected results. These factors may be found in the company's filings with the Securities and Exchange Commission under the headings Forward-Looking Statements and Risk Factors. Forward-looking statements speak only as of the date on which they are made, and Interparfums undertakes no obligation to update the information discussed. Interparfums' consolidated results include two business segments: European-based operations through Interparfums SA, the company's 72% owned French subsidiary; and United States-based operations. It's now my pleasure to turn the call over to Jean Madar. Jean?
Jean Madar: Thank you, Karin. Good morning, everyone. Consistent with what we started to see in the second quarter, sales continued to moderate in the third quarter as macroeconomic conditions remain uncertain. We are leaning further into innovation across our portfolio, focusing on product enhancement and new launches that better meet the dynamic preferences of consumers around the world. These efforts are backed by compelling advertising and promotional support, increase brand awareness, drive consumer penetration and strengthen our overall competitive position. As announced last month, third quarter and year-to-date sales were up 1% for both periods, with European-based operations sales rising 5% for the first quarter, building on top of last year's momentum, plus a stronger euro compared to the dollar, while U.S.-based operations sales declined 5% for the third quarter, excluding Dunhill. For our largest brand, Jimmy Choo Fragrance sales surged 16% during the quarter, largely driven by the I Want Choo fragrance family and also Jimmy Choo Man. In addition, the 6% quarter-over-quarter growth in Coach fragrance sales was fueled by its established lines and the launch of Coach Gold, while Montblanc fragrance sales dipped slightly due to innovation phasing, and Lacoste fragrances are on track for $100 million in sales this year. I would like to note that in the first 9 months of 2024, sales by U.S.-based operations rose 11% with the addition of Roberto Cavalli into our brand portfolio, setting a high bar for this year. In 2025, we are further capitalizing on this newer brand through the successful launch of Serpentine, the new feminine fragrance from Cavalli. Additionally, we are seeing increasing consumer demand in Donna Karan fragrance adjacencies such as the very popular deodorants. We also had new products roll out late in the third quarter that will mostly support fourth quarter sales in our U.S.-based operation, which include La Mia Bella Vita for GUESS, Sublime Leather from Ferragamo, two new extensions for DKNY, a new subcollection of Roberto Cavalli called Marbleous, plus the Just Cavalli duo, Give Me Magic, and Abercrombie & Fitch Fierce Reserve. We started Phase 3 of the distribution of Fierce rollout in May to additional countries, including the U.K., and launched Fierce and Fierce Reserve together at nearly 50 different points of sale. We see the momentum accelerating and look to further the brand's reach. The third quarter was also a milestone for us with the introduction of our first ultra-luxury direct-to-consumer offering, the [ 10-tank ] Solférino collection. Our flagship boutique opened in the heart of Paris' luxury district, and we are now selectively building relationships with approximately 40 retail stores, rolling out the brand thoughtfully. By next September, we have set our sights on 100 doors with the goal of product placement in 500 stores by the end of 2030. As we refine our craft in luxury and artisanal fragrance, we will leverage the insights we gain to elevate and better serve the other brands within our portfolio. We invite you to discover the passion behind Solférino that you can see it in our website, our first fully owned, direct-to-consumer e-commerce channel. So fragrance sales are accelerating across digital platforms as e-commerce has firmly established itself. In fact, according to Euromonitor, fragrance has roughly 50% market share within the beauty category on Amazon. We are seeing similar trends as e-commerce platform continues to be a bright spot for us. Our business on Amazon is strong. Divabox and TikTok Shop allow us to market and transact smaller sized products, increasing our visibility to consumers looking to play in prestige and luxury with more affordability. All told, the influencer magic of social media plays a powerful role in driving both traffic and purchases on Amazon. Another important but relatively small channel for us is travel retail, which grew 13% in the third quarter compared to last year, driven by Lacoste, Jimmy Choo, Coach and GUESS, as well as others in our portfolio. The popularity of our products across traveling consumer is helping us in securing more shelf space and expand SKU presence at duty-free venues. We anticipate incremental growth in our travel retail business going forward. Turning to other key operational updates. We are always looking for ways to improve efficiencies and streamline our supply chain to help manage cost pressure and support long-term growth. We are confident in the steps we have recently taken, including transitioning to 100% third-party providers for packing, shipping, warehousing, and order fulfillment. We expect this to be completed by the end of the year. We are also actively shifting our manufacturing closer to the point of sale for certain U.S. products produced SKU sold primarily in Europe and other regions. These operational improvements will help us navigate the ongoing geopolitical or macroeconomic uncertainties with more agility while allowing us to maintain strong service levels. Regarding tariffs, our view remains largely consistent with that of 3 months ago. We have successfully implemented many of the interventions we had previously identified to limit the expected impact for imports into the United States. Our immediate actions and strategic supply chain initiatives have proven effective, and our last remaining step is to implement a more cost-effective approach, leveraging the first sale rule for the finished goods that we've brought into the U.S. that are made in Europe by our European-based operations. This will require additional IT development, which we expect to have implemented by the second quarter of 2026. As noted previously, we also began implementing pricing actions in August, and we are now starting to see the effects. Early indicators show that these higher prices will help offset higher input cost in dollars, but will still likely result in some gross margin erosion. We are also being more pricing -- we're also seeing more pricing in the fragrance and cosmetic market, namely in the U.S., where we saw unit prices increase during the third quarter by an average of 5.9%, up from 1.2% at the end of June. During the month of September, unit price increases averaged 7.2% for the industry, indicating 5% to 6% pricing mix making its way to the consumer, which will likely slow overall growth. Of note, we have only taken pricing on select brands, mostly prestige and luxury, as lifestyle brand consumers tend to be more sensitive to price increase. At the company level, our 2% average price increase will continue to take effect through year-end and into 2026. At this time, we do not plan to implement any further pricing actions unless a significant change in the market occurs. On the inventory front, some retailers are using AI and other tools to optimize their inventory levels. While store level sales have been growing, we are not yet seeing the same strength in new orders as sell-through outpaces sell-in. That said, we are ready to move quickly to make sure retailers have our products on their shelves, should they choose to replenish. Before I turn things over to Michel, I am proud to share some great news. Women's Wear Daily has named Interparfums the Beauty Company of the Year in the Public Company category. This recognition is truly rewarding and reflects the strength of our brands, the creativity of our teams and the enduring partnership we have built with fashion houses, distributors and retailers around the world. So I was at this event to accept the award on behalf of our talented team and leadership, and I look forward to continuing to explore new ideas and help shape the world of fragrance together with each of you. So with that, I will turn it over to Michel. Michel?
Michel Atwood: Thank you, Jean, and good morning, everyone. As reported, we delivered net sales of $430 million for the third quarter, resulting in a 1% increase for both the 3 and 9 months ended September 30, 2025. The impact of foreign exchange aided our top line performance, contributing to 2 points of growth in the third quarter and 1% on a year-to-date basis. But the stronger euro also increased our cost base in the rest of the P&L and our balance sheet. Organic sales, excluding FX and Dunhill, declined 1% in the third quarter but rose 1% for the first 9 months of the year. Gross margin for the first 9 months expanded by 80 basis points to 64.4% from 63.6% during the prior year period. This was driven by favorable segment, brand and channel mix in the first 9 months of 2025. In the third quarter, however, gross margins declined by 40 basis points to 63.5%, as these favorable tailwinds were more than offset by the impact of higher tariffs on our U.S. imports, which represented about $6 million for the quarter. Although we implemented price increases and also tariff interventions, these price increases happened later in the quarter and only had a minor benefit on the results for the quarter. If we exclude the tariffs, gross margins would have improved by 100 basis points. SG&A expenses as a percentage of net sales were 38.2% and 42.4%, respectively, for the third quarter and first 9 months of 2025 as compared to 38.9% and 41.8% for the prior year periods. The decrease during the quarter and increase year-to-date reflect a more even distribution of A&P activities over the course of 2025, which totaled $66 million or 15.3% of third quarter sales and $186 million or 16.9% of year-to-date net sales, respectively. We continue to invest in A&P activities ahead of our growth and in line with our expected sellout trends, and we will continue to do so in the fourth quarter. Overall, consolidated operating income and margin improved for both the quarter and year-to-date compared to prior year periods. Operating income was $109 million for the quarter, a 2% increase, resulting in an operating margin of 25.3% or a 30 basis points expansion from prior year. On a year-to-date basis, operating income increased by 2% to $243 million, with an operating margin of 22% or 10 basis points improvement versus prior year. Now looking below the operating line. We reported a loss of $7.7 million for the first 9 months of 2025. And this is pretty close to what we had last year, where we had a loss of $7.1 million. The year-over-year change primarily reflects a couple of factors. First, we have higher losses on foreign currency. We lost $4.6 million compared to $3.1 million in the prior year period. And as you know, the significant swings in the euro exchange rate throughout the year have helped our top line, but have led to larger than usual FX losses. The second factor was the impact on marketable securities, where we recorded a loss of $2.5 million in the first 9 months of 2025 compared to a loss of $800,000 in the first 9 months of 2024. Conversely, and thanks to the strengthening cash positions, changes in interest expenses and interest income were favorable year-over-year with net interest expenses of $1.8 million during the first 9 months of this year as compared to a net interest expense of $2.9 million in the prior year period. Our consolidated effective tax rate on a year-to-date basis was 23.5%, down 20 basis points from 23.7% in the prior year period as we benefited from a onetime favorable tax gain of $2 million in the quarter following a positive outcome from prior year tax assessments. And essentially, it was a mutual agreement procedure that we successfully got through. These factors, combined with our disciplined execution and cost management, led to third quarter net income of $66 million or $2.05 per diluted share, which is a 6% increase over last year's third quarter. And for the first 9 months of the year, net income is consistent at $140 million, with diluted earnings up modestly $0.02 to $4.36. Moving to our two business segments, starting with European-based operations. As Jean pointed out, net sales rose 5% and 6% on a reported basis and 1% and 4% on an organic basis for the first 3 and 9 months ended in September. Gross margin was 66% for the quarter and 66.6% year-to-date compared to prior year periods of 66.2% and 66.3%. The slight quarterly decline reflects tariff impacts on our European operations, which were partially offset by pricing gains in the United States and favorable brand and channel mix. While SG&A expenses increased 1% and 5% for the quarter and year-to-date, respectively, SG&A as a percentage of net sales declined by 110 basis points and 40 basis points, respectively. A&P expenses totaled $44 million for the quarter and $133 million on a year-to-date basis, representing 15% and 17% of net sales. Overall, net income attributable to European operations as a percentage of net sales exhibited strong growth, with net income margin expanding 230 basis points for the quarter and 50 basis points for the year. Turning to our United States-based operations. Net sales declined by 5% and 6%, excluding the phaseout of Dunhill for the 3- and 9-month period. The phaseout of Dunhill Fragrances was completed in August 2024. So at this point in time, we've completely lapped that event. Gross margin declined by 110 basis points in the third quarter due to transitional tariff impacts and brand and channel mix, but expanded by 80 basis points to 59%, largely due to the discontinuation of the low-margin Dunhill sales that impacted the prior year period. On the SG&A side, SG&A decreased 4% for the quarter and 2% for the year as we put in place strong cost containment measures. However, SG&A as a percentage of net sales rose to 39.7% and 44% for the first 3- and 9-month period, reflecting really, the lower sales. A&P expenses represented 16% of net sales for the quarter and year-to-date basis, representing $21 million and $53 million, respectively. Overall, net income attributable to United States operations declined 14% to $21 million for the quarter and 20% to $39 million year-to-date, primarily reflecting these lower sell-in. At September 30, our balance sheet remains strong with $188 million in cash and cash equivalents and short-term investments and working capital of $688 million. Accounts receivable was up 3% from last year's third quarter, slightly ahead of growth, driven by channel mix and foreign exchange. We continue to have a strong collection activity. We've also made meaningful progress on inventory management this quarter. Inventory levels as of September 30, 2025 decreased 6% from 2024 third quarter as we remain focused on executing on inventory reduction strategy. The composition of our inventory has also improved with a higher mix of finished goods relative to components. This shift positions us well to continue to drive inventory efficiencies as we get into the year-end. By effectively managing our working capital in line with sales, year-to-date operating cash flow increased $68 million, up $18 million from prior year period, reflecting 38% of net income compared to $50 million or 28% of net income in the same period last year. Obviously, the cash always is higher in the run up until the last quarter of the year and should get better at the end of the year. We also took advantage of our stronger cash position and the recent drop in the stock price to continue our share repurchase program. Year-to-date, we have repurchased $7.5 million in shares and will continue to evaluate additional share repurchases if the stock price remains below what is believed -- what we believe is the intrinsic value. As we have communicated in the past, our fully owned French subsidiary, Inter Parfums Holding SA, essentially an empty shell, will merge into our French subsidiary, Interparfums SA, which is a public entity. Since IPH hasn't conducted any business, we do not expect this merger to have any material impact on our shareholders. Following the completion of the merger next month, our company, Interparfums Inc., will continue to own roughly 72% of Interparfums SA, but this will now be a direct ownership as opposed to an indirect ownership and will supply -- simplify our corporate structure. Moving to our current year guidance. And as per our earnings release yesterday evening and reflective of current market dynamics and year-to-date trends through September, we are refining our full year 2025 outlook. We now expect sales of approximately $1.47 billion, representing 1% year-over-year growth, and diluted earnings per share of $5.12, which is in line with 2024. Additionally, while we will provide more formal full year 2026 guidance on Tuesday, November 18, we currently anticipate moderate top and bottom line growth in that year, generally in line with what we are seeing this year. We anticipate a return to stronger growth in 2027, driven by enhanced innovation, including the development and distribution of our newest licenses, Off-White, Longchamp, as well as Goutal. While demand has moderated in several international markets, our core business and fundamentals remain strong. We have a robust pipeline of innovation, enduring partnerships with global distributors and retailers and a resilient consumer base. Overall, we remain confident in the strength of our business model and our ability to deliver sustainable performance and long-term value, as we have for more than 4 decades.
Jean Madar: Okay.
Operator: [Operator Instructions] Our first question comes from the line of Ashley Helgans with Jefferies.
Sydney Wagner: This is Sydney on for Ashley. Just curious if you can share a little bit more about what you're seeing heading into holiday maybe that gives you confidence or caution there? And then in terms of the price increase, I would love to hear what feedback you guys received from retailers as well as the consumers. Any extra color there would be helpful.
Jean Madar: I can try to answer on the holiday, what do we see for the holiday. We had a strong October. We continue to sell gift sets in October. Gift sets will arrive in stores in November or December. And our forecast for November is also quite strong. So it means that retailers are continuing to buy. The inventory at store level is not high. Iwas -- we are monitoring this in department store on a daily basis. Amazon sales are starting to pick up. But of course, this type of purchase will be done in the last 2 weeks of the year. So this year, we are not worried for the holiday season. Pricing, the second part of your question is about pricing. We took a very modest pricing compared to other companies. And it was, I will say, quite well accepted. We didn't increase prices across all our brands. We selected the most prestige, the most elevated. This is where we think there is more elasticity. And we did not increase prices on the more democratic lines that we have or the more lifestyle brands that we have in the portfolio. But we didn't see too much resistance, neither from retailers, nor our consumers.
Michel Atwood: Yes. Maybe just to build on Jean. I mean, ultimately, I think everybody was expecting that with the impact of tariffs, there were going to be inevitably, some of that was going to be passed on to the consumer. I think clearly, we've seen this across the board and particularly in the U.S. in the third quarter. As I was saying before, we're seeing before year-to-date June, unit pricing, which reflects, obviously, pricing, mix and other factors was up by about 1.2% versus prior year. And we've clearly seen an acceleration in the third quarter. Our unit pricing is up close to 6% and if you really zoom into September, it's close to 7%. So definitely, there's been a lot of pricing that's been taken. It's not -- it is very selective from brand to brand, but generally speaking, we are seeing that acceleration. And it hasn't really significantly impacted units. Unit sales are roughly growing about 1%. So the market growth is driven by pricing again in this third quarter.
Sydney Wagner: That's helpful. If I can maybe just poke one more in there. And apologies if I missed, but there was some talk last quarter about just shipment timing maybe shifting between Q3 and Q4. Maybe I missed if you guys mentioned kind of where that ended up shaking out?
Jean Madar: Michel?
Michel Atwood: I mean, we've certainly seen a little bit less holiday sets being sold into the third quarter relative to what we normally see. And we have seen some of that pick up during the month of October, but it isn't significant. I think the main thing here, really, Ashley, is -- Sydney, sorry, is that we continue to see a bit of a disconnect between sell-in and sell-out there. There is -- continues to be a couple of points difference. The markets are still up. The market actually in the U.S. for the third quarter was up 7% and is up 4% on a year-to-date basis. So consumption remains very, very healthy. We're just seeing -- continuing to see a small disconnect of a couple of points between sell-in and sell-out. And not only for us, but also for our competitors. I'm sure you've all seen all of our competitors have now published their earnings. And pretty much everybody, with the exception of maybe Coty, which was an outlier on the way down, and [ Lauder ], an outlier on the way up. Everybody has been hovering around 2%, which is pretty consistent in what we posted. So overall, I think we are seeing at a macro level, this continued destocking that's impacting us. By the way, this isn't any different than what we're doing as well because if you look at our inventories, our inventories are also down as we're trying to get more efficient with our inventory. And of course, everybody is basically doing that.
Operator: Our next question comes from the line of Susan Anderson with Canaccord Genuity.
Susan Anderson: I guess maybe if you could just talk about kind of looking out over the next 2 years, you have a number of new brands rolling out. I guess, how should we think about just that growth profile in terms of what will be driving the growth? Do you think that the combination of these new brands, I guess, how much growth are you expecting them to drive as well as just continuing to grow your existing brands, whether that be the smaller ones or the larger ones?
Jean Madar: Yes. I can try to answer. So when you look at the portfolio today, we have added two -- excuse me, three important license or purchase of trademark. One is Off-White, and we will see sales of Off-White in 2027. We bought also the business of Annick Goutal, which is a prestige line of fragrance. And you will start seeing some business in '26, but more in '27. And more important, I think the largest potential is with the license that we signed with Longchamp. Longchamp is a great bag manufacturer. As you know, we have a great journey with Coach. And we think that Longchamp has a great brand territory that we can exploit for fragrances. Longchamp will be -- can be 3 to 5 years, $100 million business. And that's what we are doing. So 2026 will be, I will say, modest because -- the growth will be modest because we will be working for the important launch at the end of '26, beginning of '27. Michel?
Michel Atwood: Yes, I would just also say that we have also added quite a lot of brands, quite a lot of large brands over the last couple of years with Cavalli, Donna Karan, Lacoste, and [ the year before ], Ferragamo. At this point in time, if we look at the portfolio that we've added these are large brands, and they're growing -- but obviously, the smaller brands in our portfolio are kind of pulling us down. So there is going to continue to be some work on cleaning up the portfolio and -- so that we can really focus on the largest brands that will drive the business more sustainably going forward.
Susan Anderson: Okay. Great. And then...
Jean Madar: We're still seeing that GUESS, Coach, Jimmy Choo and Montblanc can go at a good pace.
Susan Anderson: And maybe if I could just add one more on the model. I guess for fourth quarter, how should we think about gross margin now that the price increases have flowed through? I think you said if it wasn't for the tariff, third quarter would have been better by 100 bps. So I guess should we expect that to be fully offset now in fourth quarter on the gross margin front?
Michel Atwood: Look, it's a great question. The reality is we've done a really great job in realigning our supply chain and looking at tariffs. There is one big item that is -- takes a lot of time to do, which is all the U.S. stuff -- all the European stuff that we import into the U.S. It's a pretty sizable business. And we've been hit not only with 10% tariff, but it's been up to 15%. It's going to take us a bit of time to basically get the cost of those tariffs down with the first sale rule, as Jean pointed out in the prepared remarks. That's going to, I think, continue to impact us in the first -- in the fourth quarter and in the first quarter of next year. It should get better in the second quarter. So no, I am expecting gross margins to slightly erode I'd say probably about 50 bps, something similar to what we saw in the third quarter.
Operator: We've reached the end of our question-and-answer session. I'd like to turn the call back over to Mr. Atwood for any closing remarks.
Michel Atwood: All right. Thank you very much, and thank you, all, for joining our call today. With this being our final conference call of the year, Jean and I extend our warmest wishes for a safe and joyful holiday season and healthy and fulfilling new year. I would like to mention that we will be hosting the Canaccord Genuity team at our corporate headquarters on December 4 for their annual [ Beauty Bus ] Tour. If you would like to participate, please feel free to reach out to the Canaccord Genuity team. If you have any additional questions, please contact Karin Daly from The Equity Group, our Investor Relations representative. And thank you, and have a great day.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.